Operator: Good day, ladies and gentlemen and welcome to the Silence Therapeutics Interim Results 2021 Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later we will conduct a live question-and-answer session through the phone lines and instructions will follow at that time. Participants can also submit questions through the webinar platform, which will be answered by the company at a later date. As a reminder, listeners should join the call through either the webcast or the phone lines for the best viewing experience. I will now hand over to Gem Hopkins, Head of IR and Corporate Communications to open the webinar. Please go ahead, madam.
Gem Hopkins: Good morning, and good afternoon, everyone. Thank you for joining us today. Joining me today on the call are Mark Rothera our President and CEO who will provide an update on the business; next is Giles Campion our Head of R&D and Chief Medical Officer who will provide an update on our clinical program; and Craig Tooman our Chief Financial Officer who will review our financials before opening the call to your questions. For those of you participating via conference call the company slides can be accessed by going to the Investors section of our corporate website at www.silence-therapeutics.com. Turning to Slide 2, I’d like to remind you that during today's call management will make projections or other forward-looking statements regarding anticipated future events or the future financial performance of the company, including clinical development timing and objectives, the therapeutic potential of our product candidate, our operational plans and strategies, anticipated milestone payments, anticipated operating and capital expenditures, business prospects and projected cash runway. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in our most recent annual report on file with the SEC. In addition, any forward-looking statements represent our views only as of the date of this recording and should not be relied upon as representing our views as of any subsequent date. We specifically disclaim any obligation to update such statements. With that, I'd like to turn the call over to Mark. Mark?
Mark Rothera: Thanks, Gem. Good afternoon, and good morning, everyone. Thank you for joining us today. Now let's move to Slide 3. In January I set out our path to value creation. We must maximize a substantial opportunity of our proprietary mRNAi GOLD platform to target disease associated views in the liver rapidly and effectively. We are doing this through a combination of building and advancing our proprietary pipeline as well as our partnered pipeline. We call this the hybrid model. We made strong progress advancing both areas in the first half of the year and are on track to significantly expand our portfolio of GOLD platform programs by delivering two to three INDs per year from 2023. Moving to Slide 4. Starting with our proprietary pipeline, we achieved a historic milestone in May, when we reported the first clinical data from our GOLD platform, the SLN124 healthy volunteers study demonstrated the potential of our technology and showed that we can successfully translate the results from preclinical models into humans. In addition to this, we started dosing patients in two wholly-owned Phase 1 program, the SLN360 APOLLO program for cardiovascular disease due to high levels of lipoprotein lipoprotein(a), or Lp (a), and the SLN124 GEMINI II program, the thalassemia and myelodysplastic syndrome or MDS. We also advanced our partnered pipeline. We started work on the second undisclosed target with AstraZeneca and are on track to initiate work on a total of five targets within the first three years of our collaboration for cardiovascular, renal, metabolic and respiratory diseases. Under our Mallinckrodt collaboration for complement-mediated diseases we started work on the third and final target of the partnership agreement, and initiated IND enabling studies for the complement pathway C2 [ph] targeting program. The first half of the year highlighted the value of leveraging a hybrid business model. In addition to completing a financing led by top U.S. healthcare funds, we received substantial amounts of non-dilutive capital from our collaboration partners. As a result of our hybrid model and getting money in from both sources, we ended June with a strong cash position. Craig will review our financials in more detail later on in the call. With positive clinical data from our GOLD platform, we believe it has become more apparent how powerful the GalNAc approach may be to developing new precision medicines, partnership interests remained strong. We are well positioned today, both from a financial and platform perspective, to further advance our clinical pipeline and deliver on our IND goal. Moving to Slide 5. What is particularly attractive about our GOLD platform and the GalNAc siRNA approach is it is a well established modality with a track record of clinical success. In fact, historically GalNAc siRNA programs have had a high success rate in moving through the clinic from Phase 1 to Phase 3 compared to the pharma industry average. This means that the return on discovery investment for programs has the potential to be much better than is typical for our industry. That's why we are committed to cranking up the engine on our discovery pipeline, as well as advancing our clinical pipeline. Moving to Slide 6. I'd like to focus on upcoming events and anticipated milestones, starting with SLN360, our lead clinical stage proprietary program for cardiovascular disease due to high LP(a). This morning we announced the good news that we have fully enrolled four cohorts of the SLN360 single ascending dose study, despite the challenges associated with COVID-19. We anticipate reporting topline data from the four cohorts in the third quarter of 2022. The protocol included the option to add a fifth cohort if we want to learn more about the clinical profile of SLN360. We remain well positioned to start the Phase 2 study in the second half of next year subject to regulatory discussions. Moving to our second clinical stage proprietary program, SLN124 for thalassemia and MDS. We plan to present additional results from the SLN124 healthy volunteers study at ASH in December pending abstract acceptance. Giles will review the positive topline data we presented from the SLN124 healthy volunteers study in May in just a moment. But first I want to update you on our timelines for the SLN124 Phase 1 program in people living with thalassemia and MDS. While we have been successful in implementing a number of mitigation strategies to minimize the impacts of COVID on our clinical programs, the SLN124 program is more complex. Thalassemia and MDS are both rare diseases prevalent in areas hardest hit by COVID. We selected multiple sites across Asia, Middle East and Europe where thalassemia and MDS are most prevalent. However, some key sites have not been activated yet due to COVID-19 surges. We are uncertain today how the situation will evolve and therefore need to be more conservative about timelines. We are now guiding that both of the SLN124 single ascending dose studies in thalassemia and MDS will read out in the summer of 2022. We will add further sites as a contingency and continue to work closely with local patient advocacy organizations to inform and educate patients about the trials to expedite the process. Beyond our evaluation of SLN124 for thalassemia and MDS, the healthy volunteers study showed the potential of SLN124 to become a franchise that is much broader than these two indications through its ability to control the production of hepcidin, a key regulator of iron balance in the body. We announced this morning that we will host an R&D Day in New York on the 21st of October and look forward to discussing the SLN124 and SLN360 programs, as well as our broader pipeline in more detail then. With that, I'll turn the call over to Giles for clinical updates. Giles?
Giles Campion: Thanks Mark. Moving to Slide 7, as Mark mentioned we announced today that we have completed enrollments in four cohorts of the SLN360 single ascending dose study in healthy volunteers with high LP(a). This is a global randomized, double-blind, placebo-controlled study affecting individuals with high LP(a) levels at or above 60 mg/dL. Remember the 50 mg/dL is the threshold at which cardiovascular experts agree that we should look to treat patients a level above this significantly increases the risk for serious cardiovascular events. In the SLN360 single ascending dose study, we will be looking at safety, LP(a) reduction from [indiscernible] and durability of effects over the followup period which is around five months. I think it asks what success looks like for this study. Moving to Slide 8, we want to replicate the excellent profile shown here in the nonhuman primate level. This demonstrated robust LP(a) knockdown of around 90% with effects lasting for at least two months which was the duration of the study. In addition, preclinical safety studies have shown excellent safety profile which is key, particularly when you are considering a potential preventative treatment for around 20% of the world's population. For the SLN360 single ascending dose study, clinicians generally consider around 70% to 80% reduction clinically relevant. We are optimistic based on preclinical data on the GalNAc conjugated siRNA modality, but we will have a long-duration action lasting at least a few months potentially longer. Moving to Slide 9 and the SLN124 program for thalassemia and MDS, these are both characterized by relative deficiency of hepcidin, which is central regulator of iron distribution in the body. SLN124 is a GalNAc conjugated siRNA targeting TMPRSS6, a gene that limits the production of hepcidin in the liver. Here we are looking at data from a rodent model for thalassemia, but by controlling hepcidin production we believe SLN124 can address a range of hematological conditions as Mark indicated earlier. In this model, you can see that SLN124 reduces TMPRSS6, raise hepcidin levels and in turn load iron levels and improve red cell production as measured by a robust increase in hemoglobin by up to 2 mg/dL. In the ongoing SLN124 patient studies, anything greater than a gram is considered clinically meaningful. Moving to Slide 10, in May we announced positive top-line data from the SLN124 healthy volunteers’ study that exceeded our expectations. This study demonstrated both, the excellent safety protocol of siRNA and proof-of-mechanism. All doses of SLN124 were safe and well-tolerated with no serious or treatment emergent adverse events. Following a single dose, SLN124 increased average hepicidin up to an approximate fourfold and reduced serum iron by around 50%. These effects were sustained throughout the 8-week study indicating a long duration of action. On Slide 11, you can see, SLN124 increased hepicidin at each dose level, and that effect was sustained throughout the study. You can see on Slide 12, the SLN124 meaningfully reduced serum iron levels after single dose, and that effect was also maintained throughout the study. Importantly, this study was conducted in healthy individuals with a normal iron metabolism and we anticipate seeing even greater impact in patients with hepcidin deficiency. Moving to Slide 13. Here's an overview of the two single-ascending dose studies we are running with SLN124; one in Thalassemia, and one in MDS patients. We are enrolling 56 patients in each study and have up to four cohorts per study. Given the positive data from the GEMINI study, and how consistent these data are without preclinical models we are feeling very optimistic about the potential for SLN124 in Thalassemia and MDS. And as we've mentioned, we believe that by controlling the production of hepcidin, SLN124 can address a range of haematological conditions. We presented data at the European Hematological Association Congress in June, that highlighted the potential to using this approach to treat polycythaemia vera. This is another indication we're exploring and we look forward to discussing more at our upcoming R&D Day in October. With that, I'll turn the call over to Craig, to review our financials.
Craig Tooman: Thank you, Giles. Let me just provide some context around the financials we reported today beginning on Slide 14. For the six month period ending June 30, 2021, the company recorded £5.8million in revenues versus £1.1 million in the same period of 2020, which is largely a reflection of the partnership programs with Mallinckrodt and AstraZeneca. As you know, we record revenue based on the percentage of the program completion using the cost incurred compared to overall program costs, a degree between Silence and our collaboration partner. All milestones and recharges are recorded in contract liabilities, also known as deferred revenue when invoiced and then the liability is released to revenue based on the percentage completed. As additional programs are initiated in advance, our revenue should build over time. You can begin to see this build as we have initiated the AstraZeneca programs in late 2020 in the first half of 2021. The cost of sales reported a £3.4 million include direct costs associated with our partner programs, as well as salary costs for the internal employees working directly on the collaboration programs. As expected, R&D costs continue to increase as we advance our proprietary programs, including SLN360 and SLN124 in the clinical studies, as well as the continued advancement of our research programs. For the first six months of 2021, our R&D expenses were £15.6 million compared to £10.2 million in the first half of 2020.As Giles updated you earlier, we were pleased with the recent data from our clinical study evaluating SLN124 in humans and we continue to be enthused with our projects in development. General administrative costs were approximately £9.1 million for the six months ending June 30, 2021 versus £5.2 million for the same period in 2020. The increase was primarily driven by costs associated with the NASDAQ listing, and additional needs required for being a public company trading in the U.S, as well as increased costs to support the expansion of our R&D activities. The company's net loss for the six months ended June 30, 2021 was £20 million versus £11 million for the six months ending June 30, 2021. Again, our investments in R&D and G&A are the two main areas impacting the PNL as we continue to broaden the skill-sets and capabilities the company will require going forward. Turning to Slide 15, we believe we have a strong cash position at present. The company's cash, cash-equivalents and deposits were £81.2 million at the end of June 2021. This includes the previously reported net proceeds of approximately £30.7 million in an oversubscribed financing that we closed in early February, and the receipt of £30.8 million from AstraZeneca in May of this year. We believe our cash position should allow us to fund the company through at least the end of 2022 or early 2023, without any assumptions of additional non-dilutive financing. We do remain very interested in a hybrid model for financing, and external parties remain very interested in partnering with us, especially after a good clinical result this May. In summary, we continue to prudently invest in the growth of the company. We will continue to expect to incur higher R&D costs as our programs advance. We will also spend an additional G&A to support a growing organization and to comply with greater regulatory requirements. Our accomplishments in the first half of the year, both clinically and financially, give us a lot of optimism for our future outlook.
Mark Rothera: Thanks Craig. I'd like to thank everyone for listening today, and I'll pass back over to the operator, for your questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Tom Shrader of BTIG. Please ask your question.
Thomas Shrader: Good morning, congrats on all the progress. I had a question about the 124 program and how we should think about haemoglobin, do you think it's the median change that matters or some sort of responder analysis or is the key read out kind of periods off transfusion? And then a second question on the second program, I understand you're treating LP(a) greater than 60, where things start to matter, will the FDA allow you to go up with the patients where LP(a) is very high, or do you have to start sort of around, 60? Thank you.
Mark Rothera: Tom, thanks for the question. So, one on haemoglobin, the other one on LP(a), I think Giles, you are probably in the best position to answer these questions.
Giles Campion: Yes, I mean, as you are aware, if we start with the first one, as you are aware, the haemoglobinopathies represent a spectrum of disease from non-transfusion dependent to transfusion dependent. From a regulatory perspective, the way forward has been looking in reduction in transfusion dependency. So, for example, this dataset showed a -- look to the 30% reduction in transfusion frequency, so that would likely be the registration endpoint. In terms of, haemoglobin, that would be more relevant for the non-transfusion dependent population and there typically whether you, and I think this has been shown in both beta-thalassemia and also MDS, you are looking for about a 1 gm to 1.5 gm increase, which has been shown to be both clinically relevant and associated with increase in quality of life. So, I think that would be, those will be my thoughts in that regard. As far as LP(a) is concerned, I mean in our trial what we have is, an entry criterion having a level of at least 60 mg/dL, that doesn't mean that we are restricted in terms of upward values and indeed there are some individuals with quite high levels that have been included in that study. So, it will give us an opportunity to look at the effect on both those with minimally raised and also those with quite high levels.
Thomas Shrader: And one quick follow up, do you expect an LP(a), a percent reduction by dose or an absolute reduction by dose?
Giles Campion: Well, I mean, we will look at both, of course. I mean, as I indicated in the presentation, levels are thought to be considered elevated beyond 50 mg/dL. So if you were treating to target then that would be the target you would aim for. In fact, the demographic data suggests that greater than 30 mg/dL is associated with increased risk. But generally, the sense is that, if you can reduce LP(a) by around 70% to 80%, that would give you a good therapeutic effect.
Thomas Shrader: Great, okay thank you.
Operator: Thank you. Your next question comes from the line of Patrick Trucchio of H.C. Wainwright. Please ask your question.
Patrick Trucchio: Thanks, hi good morning and good afternoon. I guess the first one is just a followup on SLN360. So, I'm wondering if you can give us an idea of what the clinical development plan for 360 could look like going forward, assuming a positive outcome in the Phase 1 program, and your views on eventually partnering this program? 
Mark Rothera: Thank you, Patrick. So let me start and I'll also ask Giles to comment. Yes, I think what we underlined today is that we're on track to initiate a Phase 2 for the SLN360 program in the second half of next year. And so, that is subject of course to discussions with the regulator, that with a single ascending dose data now expected in Q1, we think that gives us ample opportunity to initiate that Phase 2 study. What we’re thinking of as far as partnering is concerned is the important thing here is to do what's right for this brand, if you like. This is a blockbuster potential asset. It's going to be competing in a statin like market, which as you know is a massive market, is very similar in size and so what's important is to make sure that when it comes to scaling up and being ready to compete globally, that we have a great partner in place for that journey. So we'll be mindful about that as we think about the development program and when it makes most sense to bring on board a partner. I don’t know Giles, if you want to add anything on the development plan?
Giles Campion: Well, the comment I'll make is, one obviously, that's something that we’re intensively looking at, at the moment, both internally and with experts. And two, I think the path to some extent has been indicated by a traditional path of being indicated by our competitors, mainly Novartis, who are in the process of doing a cardiovascular outcome study. Obviously, the ability to show reducing LP(a) does correspond with the reduction of heart [ph] endpoints is going to be very important for the field. Amgen, who are also developing an siRNA, are currently doing a Phase 2 in those in subjects with atherosclerotic cardiovascular disease. So, I mean that is one way that obviously we are carefully looking to see what would make more sense for us.
Patrick Trucchio: Yes, and then just on the SLN124, I'm just wondering if you can discuss some of the advantages of 124 as compared to some of the other modalities in development in these indications and including the ASR [ph] that targets TMPRSS6 and some of the other approaches in the field, such as with antibodies or gene therapies?
Mark Rothera: Well, that's a big question. Giles, do you want to take that one?
Giles Campion: You want me to take that?
Mark Rothera: Sure.
Giles Campion: I mean the, my first answer is, I'm really impressed by the profile of siRNA. And as we've shown in the healthy volunteer study that is characterized by a very strong target knockdown, a long duration of action, and a very good safety profile. And I think that has shown itself amongst the approved products or about to be approved products just around similar sort of profile there. So, I think that's the power of this modality in terms of looking at different therapeutic classes. If you look at the other compounds that are being developed in this field, I feel that the siRNA, really is a technology upgrade on antisense oligonucleotides. Why do I say that? Because one, the duration of action appears to be significantly longer and you can see that again in the LP(a) program where Novartis is dosing monthly. I think the evidence that we've seen, both from Amgen and hopefully from our own programs will be that dosing will be significantly of longer duration than our selves. And I think the other aspect is the safety aspect, the very clean social safety profile so far of siRNA I think compares very favorably. The other approaches in this area have been through hepcidin mimetic, so the same sort of pathway. The issue with hepcidin mimetics is they tend to have short durations of action. And when you're dealing with trying to control iron at the level of the [indiscernible], then you need to have very stable levels and iron overshoot is something you want to avoid and I think that's the issue with hepcidin mimetics. Again, to get the duration of action doses have to be increased, which are associated with an increase in adverse events. I think what they have done is that they have shown potentially very interesting alternative indication, so [indiscernible] for example, is showing some quite interesting results in post [indiscernible], and as Mark indicated, that's something else that we look at. So I think the strong effects of the siRNA together with the essential mechanism that hepcidin gives us in terms of iron regulation, we feel that this is a very attractive area for drug development.
Patrick Trucchio: Yes and then just one more on Slide 5 it demonstrates the high probability of success for advanced RNAi platforms. So, there's also many RNAi programs out in the field, though many of the additional liver targets remain unaddressed. So I'm wondering how you will decide which targets to go after next and when you can disclose on those liver targets? And when you discussed two to three INDs per year beginning in 2023, would those be primarily in liver or would those also include targeting other tissue?
Giles Campion: Yes, let me tackle that one. Firstly, when we say two to three INDs per year by 2023, we're referring to the GOLD platform, so liver oriented programs, and through a combination of both our own internal pipeline, and through our partners' pipeline. So that's what's going to deliver two to three INDs or more beyond 2023. As we have pointed out, we see a lot of opportunity still in the liver oriented programs, because there are about 14,000 genes expressed in the liver. If you look at, [indiscernible] Arrowhead on myeloma cells and if you look at the number of programs that are either underway or potentially underway in the future, it is probably just under 1% today. And so, we think that there are a lot of opportunities out there to identify novel and also potential follow-on programs that will add value. And so we've built an internal translational genomics and informatics team that is really cranking there. We have a number of data partnerships that will also help us identify novel targets. But also there are, I think a lot of partnership opportunities out there with organizations that bring very specific therapeutic area competency and experience that is complimentary to that to our siRNA experience. And so, when you think about all these factors, I really think there's a lot of mileage to be gotten from the GOLD platform, and two to three INDs per year I think is a really good starting point for us.
Patrick Trucchio: Perfect. Congrats on all the progress and thank you very much.
Mark Rothera: Thank you, Patrick.
Operator: Thank you. [Operator Instructions] The next question comes from the line of Myles Minter of William Blair. Please ask your question.
Myles Minter: Hi, thanks everyone for taking the questions. First one is just on perhaps the APOLLO study, what are the guiding factors? I guess that you are thinking about initiating actually the cohort of dosing? And you've committed to top line guide in the first half of 2022 for the first four cohorts, so would we find out that answer after that guide or is this something you might be thinking about implementing before that? And then the other thing that I wanted to know is, now that at least you internally know the exact dosing of what you've used in the [indiscernible], where would a fifth cohort fit relative to the no adverse effect level you saw in [indiscernible]?  Thanks.
Mark Rothera: Myles, thanks for the questions, I'll start and then hand over to Giles. But just to clarify, we've only made a very modest adjustment to the timing of the data. So we're talking about Q1 of 2022, just to be very clear on that front and that's with regard to the four cohorts of data from the APOLLO study, the first four cohorts. So as to decision making around the fifth cohort, I don't know if you'd like to add some comment around that Giles.
Giles Campion: Yes, I think the important thing about single ascending dose is that it really provides the data set that launches into further development. So what we've done in that protocol is to retain some flexibility so that if we need to then we can do an additional cohort. At this point in time, we don't anticipate it, but until we see the data we won't know for sure. And you know what you're trying to do is; one to maximize effects, so level of knockdown; two duration, which is clearly going to be important, particularly when you're dealing in a preventative indication and of course, safety. So that's what we do when we look at the results of different cohorts to make sure we've got the best combination of those factors to enable us to go forward, so hence the flexibility in the protocol to be able to do that.
Myles Minter: Yes, makes sense and apologies on the timing correction there. The second one I want to pull, have you opened up additional clinical trial sites outside of the German one that is listed on clinicaltrials.gov. And then for the new additional thoughts that I think, I might mention that you might need to add to try and simulate enrollment here. You know what sort of the -- how are you ensuring that those sites are as quality as the ones you initially picked and sort of what's the right revenue sets for getting them up and running? Thanks.
Mark Rothera: So in a moment I'll ask Giles to come in about the sites that are opened all right. I think the general point here is, with these being rare conditions, and obviously as we pointed out today, given that the prevalence of this condition includes numerous countries and Middle East for example and Asia, which have been more impacted by COVID-19, we continue to build out our footprint for this study. So we've already identified 23 sites that we have in mind for the study, but we'll continue to add to those sites in areas that have been less impacted by COVID. So we're sort of balancing between areas of higher prevalence where potentially there's higher risk, but also other areas where there's perhaps lower risk with a perhaps slightly lower prevalence. And so it's a balancing act that we're doing globally here. But just to underline, we have a large number of sites that have been selected for this study. Giles, do you want to add any commentary there?
Giles Campion: Yes. I mean, the idea is, as Mark indicated is we want to go to areas where the disease prevalence. clinicaltrials.gov doesn't accurately represent the extent of the facts we're looking at. We're looking at about 22, 23 sites around the Mediterranean literal and the Far East. And the reason for the delay is once we typically enter sites, once we got regulatory approval and there's also some administrative delay. So the rate of site activation is in fact greater. So that's our approach.
Myles Minter: That makes sense. The final one from me is just when you can start talking more about the AstraZeneca and the Takeda programs. I know you get that question a lot, but I just want to know in terms of like the legalities of it, like when you can come in versus that it is this solely in the hands of AstraZeneca and Takeda as to when they want to disclose those sort of targets moving forward? Thanks.
Mark Rothera: Yes, great questions. Look, on the AstraZeneca collaboration, we are bound to be good partners, to be thoughtful about how much we communicate relative to highly competitive areas that they're very interested in. You know, but what is great is that we are progressing very well in the collaboration. We have already initiated work on two targets, and the goal is to have initiated on five targets within the first three years of this collaboration and remember that it's up to ten targets in total. I mean, one of the metrics you will see at the time of the collaboration progression, of course will be, milestone payment. And we have been open about the therapeutic areas that we’re working in, with them. So, to that extent, we're being open about the sort of therapeutic area categories. On the Takeda front, I think we had that exploratory deal in place, that you are very well aware of, and for one particular target, we've actually completed the work, that we were responsible for by the end of June, on the Technology Evaluation Agreement for that target. You know, Takeda now is evaluating that data, they have an option if they want to, to an exclusive follow-on license under the agreement, and they will be evaluating this alongside multiple approaches that they’re taking to address this particular target. So, I guess, it's a wait and see, as far as that is concerned.
Myles Minter: Okay thanks for the questions, very helpful. Congrats on the progress.
Mark Rothera: Thanks, Miles.
Operator: Thank you. There are no further questions on the line, so I'll hand back to Mark for closing remarks.
Mark Rothera: Well, thank you everybody for joining us on this call. I'm extremely proud of our half year performance and the overall results so far in 2021. We successfully delivered the first clinical data from our GOLD platform. We advanced two wholly owned programs in the clinic and we made excellent progress across both, our proprietary and partnered pipeline. We also completed a successful financing with top U.S. investors, and continue to build key capabilities for the next stage of our journey. We are looking forward to the next six months of the year and what we can deliver from our platform, both internally and through ongoing partnering initiatives. We look forward to sharing more with you at our R&D Day in October. It's an exciting time for Silence by all accounts, and thank you again and have a great day.
Operator: Thank you. That does conclude our conference. Thank you all for participating. You may now disconnect.